Alan Jackson: Good morning, everyone, and welcome to Playtech's 2019 Interim Results Presentation. I'm pleased to report that our core businesses have continued their strong performance, clearly demonstrating our technology leadership. Our core B2B business delivered strong revenue growth in regulated markets, including double-digit growth in regulated markets outside of the U.K. Let's just pause for a sec. Snaitech continued its impressive performance with a very strong H1 and continued to gain market share in the highly attractive Italian market. I'm also pleased to announce a further €25 million share buyback program in addition to our interim dividend. During the first half of the year, we continued to evolve the Playtech Board with two further non-executive director appointments. And I've also started Chairman succession planning to identify the right individual to oversee the next stage of Playtech's growth. Given the group's continued strategic progress and growth of the core business seen in H1, Management remained confident of further progress and growth in the second half of 2019. So with all that ahead of us, I'll hand over to Mor. Thank you all very much.
Mor Weizer: Thank you, Alan. Good morning, everyone, and thank you for coming. We are very pleased to present this performance from the group, and it demonstrates the growth momentum in the core parts of the business and the important progress we have made against our strategy. Our leadership in technology is driving the growth of our core B2B and B2C gambling divisions with both parts of the business outperforming in the first half of 2019. This represents the core parts of our business and increased our regulated revenue to 87%. Asia remained challenging, and I've taken further action in the period to preserve our position by introducing new commercial incentives to further promote Playtech. Despite the performance in Asia, the continued strength of the group and the outperformance of the core parts of the group, mean we can reiterate full-year guidance this morning. Today, there are four things we will be presenting on. Firstly, we have focused the group on a clear strategy to capture the opportunity in front of us in the gambling industry. Secondly, Playtech is the technology leader in our industry and we continue to improve and evolve our technology to extend our reach to previously untapped commercial opportunities and markets. Number three, our leadership in technology and the flexibility of our business model allows us to capture the commercial opportunity in any market. This means we can continue to grow the business, driven by highly attractive, regulated, fast-growing market. Finally, we will outline how the relative outperformance of our regulated B2C business is delivering growth for the group. And now as part of Playtech, Snaitech has completely outperformed all our expectations. I will now hand over to Andy.
Andy Smith: Thank you, Mor. Starting with Slide 8 and the financial highlights. First half of 2019 saw core B2B Gambling and Snaitech driving Playtech's performance. Core B2B Gambling saw revenue growth of 8% with U.K. growth of 6% at constant currency, albeit benefited from a hardware sale at the start of the year, a double-digit regulated growth outside of the U.K. Strong revenue growth and cost control drove the first half core B2B Gambling margin to 29%, of 5 percentage points compared to H1 2018. Snaitech was a good standout performer with adjusted EBITDA growth of 26% when excluding the impact of tax headwinds. Our synergy targets remain on track. We continue to strengthen our balance sheet. We diversified long-term finance in place following our second public bond raise in March. Finally, we also improved our shareholder distributions with the completion of a €40 million share buyback earlier in the year. And we have today announced the launch of a new €25 million buyback in addition to a €0.06 dividend per share. Turning to Slide 9. Group revenue was 69% with adjusted EBITDA of 31%, reflecting the six-month inclusion of Snai, compared to only June included in the 2018 half year results. Adjusted EBITDA also benefited from the impact of IFRS 16, which we will analyze in great detail later. Net profit fell by 15% compared to growth in EBITDA, and we will also analyze this in greater detail later. Turning now to look at Slide 10. We can see the relative contributions of the divisions in Playtech support the business in its context. As we've discussed previously, the different businesses within Playtech have different business models and margin profiles. B2C, which is driven by Snai, is the largest contributor at revenue level with the high margin B2B Gambling business being the largest contributor at EBITDA level. We'll now look at each division in detail. Turning now to Slide 11. Over the next few slides, we will explore the performance of the B2B Gambling business in more detail. In the U.K., the B2B Gambling business grew 6% at constant currency and 7% when further adjusted for the impact of the increase in RGD in the U.K. from April. Regulated B2B markets outside of the U.K. grew double digits, driven by markets such as Mexico, Greece and Spain. It's worth noting that in line with our strategy, our regulated revenue outside of the U.K. is now approaching the size of the U.K. business. Regulated revenues outside the U.K. would be even larger if we included Germany, which whilst regulated is taxed – which whilst sort of regulated is taxed. Looking at the regulated versus unregulated performance, the contrast is stark, with regulated revenues growing 8% at constant currency and unregulated revenues down 29%. It's also worth noting that we saw some revenues move from unregulated to regulated in the half, which is a trend that we've seen historically, and we will continue to do so. Looking now at the breakdown of B2B Gambling costs on Slide 12. As a reminder, from the start of 2019, the application of IFRS 16 became mandatory and effectively capitalizes certain lease obligations rather than accounting them as operating costs. As stated in the full-year results in February, the impact of IFRS 16 in Playtech is expected to increase just the EBITDA by €20 million. The impact of net profit is expected to be immaterial with the increase in EBITDA being offset by high depreciation and interest costs. Under the rules of IFRS 16, we were not required to restate 2018 numbers but have done so here to ensure a like-for-like comparison. In the Appendix, we've also included costs both including and excluding IFRS 16, so you can analyze in any way that you prefer. As discussed in the full-year results in February, we have scrutinized every avenue of Playtech with savings and optimization across the entire business. The actions taken in 2018 and this year have allowed us to reduce G&A cost by 8% and sales and marketing cost by 13% compared to H1 2018. On Slide 13, we will look at how our tight financial and operational control delivered a flat cost base in B2B Gambling, which when combined with revenue growth, has driven improvements in the core B2B Gambling margin excluding Asia. Looking at the first highlighted box in the table, we can see that the total B2B Gambling margin has remained healthy at 42%, despite the lower contribution from higher margin in Asia. This margin also compares favorably to other B2B businesses with a similar mix of regulated and unregulated revenues. As previously discussed, we see Asia as a cash business. And so in analyzing the inherent strengths of the B2B Gambling business, we exclude contributions from Asia, and only direct costs from the Asian revenue and not portioning any central cost to Asia. This gives a contribution margin from Asia rather than EBITDA margin with all central cost apportioned to the non-Asia business. Looking at the second highlighted box, due to the cost actions taken in the past 18 months, combined with an increase in revenues, the non-Asia B2B Gambling margin increased by 5 percentage points to 29%. And finally, for this slide, we've increased our ex-Asia B2B gambling margin target to 35% in the medium-term, reflecting both the progress made to-date, together with the benefit of IFRS 16. Turning to Slide 14. The B2C segment is comprised of Snaitech, white label, which includes Sun Bingo, Retail B2C Sport and Casual Gaming. We'll look at Snai in detail in the coming slides. Staying on this slide for a moment, looking first at the white label line, the Sun Bingo represents a majority of both revenue and EBITDA. It's a result of the amendments of the Sun Bingo contracts agreed in February; and as a reminder, it's included an extension to the duration of the contract for a period of up to 15-years. The Sun Bingo is no longer loss making from the P&L perspective. The remainder of the white label line comprise a number of other brands which have been significantly reduced as part of a housekeeping exercise, where certain brands had been consolidated or ceased operating. Retail B2C Sport saw adjusted EBITDA from a loss of €2.2 million in H1 last year to a loss of €3.6 million in H1 2019, due to start-stop nature of that business. Casual Gaming revenue remained flat while EBITDA fell further due to the investment required to drive new games in H1, such as the Walking Dead and Breaking Bad. We are conducting a strategic review of this business. Turning now to Slide 15. We will look at the performance of Snai. First, looking at the middle column, total Snai revenue decreased by 11%, €396 million due to tax headwinds in Italy and a tough comparative which included the 2018 World Cup. Adjusted EBITDA was down by only 2% due to the mitigations seeing actions taken by the business. Looking at the far-right column, we can analyze the performance with the tax headwind stripped out. In line with Snai's strategy, the half saw 28% growth in online revenues driving adjusted EBITDA up 16%. As mentioned previously and looking at the bottom row, as a franchise business I believe it's more appropriate to look at Snai's margin on an underlying basis by stripping out the pass-through revenue. This leads to a margin in the mid-40s which better reflects the quality of Snai's business. Turning now to Slide 16. As we can see after fracturing the taxation headwinds and impact of the 2018 World Cup, Snai's underlying adjusted EBITDA for H1 2018 would have been €59 million, which is the starting point when looking at growth in 2019. As can be seen from the bar on the right on an underlying basis, Snai enjoyed adjusted EBITDA growth of 26% to reach €75 million, demonstrating the strength of the underlying business. Turning now to Slide 17. I'm pleased to say an agreement was reached in July for the sale of the former trot track area owned by Snai for €55 million. €5 million of this was received last month with another €14 million guaranteed to follow in 2020. The full remainder is also expected to be received in 2020. subject to approval of the Milan Municipality. Turning to Slide 18. TradeTech continues to benefit from its business mix of both B2C and B2B with the B2B part of the business being less volatile. The overall performance in 2019 so far can be characterized as a period of two halves. The well-publicized low volatility across the industry in Q1, saw a weak performance in Q1, which was then followed by a strong Q2. Combining, Q1 and Q2 saw a 69% fall in adjusted EBITDA versus the same period last year, which was a very tough comparison. TradeTech's underlying KPIs remain encouraging. Turning to Slide 19. There were significant movements in items below EBITDA with adjusted net profit falling 15% versus adjusted EBITDA up 31%. The main moving parts reducing that profit are higher D&A and finance cost due to the impact of IFRS 16; higher D&A cost from Snai; and higher tax from Snai, although it was previously stated Snai's cash tax charge is significantly lower than its P&L charge. The drop in adjusted EPS was lower than the fall in adjusted net profit due to the lower number of shares outstanding following the buyback carried out earlier this year. Turning now to Slide 20. Looking at the gross cash of €576 million, it's worth noting that the actual amount is higher. But we've already dig up to the €297 million that we need to redeem the convertible bond in November this year. As we stated previously, the gross cash number isn't actually a relevant number as it includes cash held on behalf of customers and progressive jackpots, money which does not belong to us and which is not ours to spend. The relevant starting point therefore is what we disclose as adjusted gross cash. This now stands at €304 million, which can be found in the third row of the table presented here compared to €230 million at the 31st of December 2018. Some of you may have spotted that the cash needed for operations in gambling has been reduced from €55 million to €50 million through our continued focus on the optimization in each and every part of the business. Turning now to Slide 21. We have bridged from the €313 million at December to €304 at the end of June, as I just mentioned on the previous slide. Starting with the €313 million, we saw operating cash inflows of €163 million, a €42 million outflow relating to an outpayment mainly Quickspin and CFH. CapEx and capitalized development costs of €77 million and returns to shareholders through dividends and buybacks totaling €77 million. Finally, we saw the net €24 million cash inflow from the bond issue this year after taking into account costs and all the finance expenses. Turning now to Slide 22. As discussed earlier, further progress was made in the period on the continued strengthening of the Playtech balance sheet. The refinance of the €297 million convertible bonds mature in November this year was completed in March as we raised the €350 million bond with the excess to be used for general corporate purposes. Playtech now has both 5-year and 7-year bonds which mature 2.5 years apart. Our €297 million revolving credit facility still remains undrawn. In line with our progressive shareholders distribution policy announced in February, we completed a €40 million share buyback in H1 and have announced a further €25 million buyback today. We've also declared an interim dividend of €0.061 per share. On Slide 23, we can revisit some of the assumptions underpinning Playtech's 2019 adjusted EBITDA guidance. Core B2B regulated gambling and Snai are performing well. And Snai's adjusted EBITDA will be higher than 2017 levels despite taxation headwinds. There's expected to be a decline in B2B unregulated gambling revenue. Following the assumption in February that Asia would remain stable, that's approximately €150 million annual revenue run rate, at the current run rate Asia will contribute approximately €115 million of revenue in 2019. On a full year basis, the current run rate of Asia is around €100 million. B2C Sports and Casual Gaming as well as TradeTech effects are expected to form the lower expectations we factored into our full year 2019 guidance at the start of the year. Overall, we reiterate our adjusted EBITDA outlook of €390 million, €415 million as a strength of our core B2B Gambling business and Snaitech are expected to partially mitigate the weaknesses in other areas. Finally, for me, current trading is in line with our expectations. And with that, I'll hand over to Mor.
Mor Weizer: Thank you, Andy. Now that Andy has given you the detail on the number, I will now return to the four things that have shaped our progress in H1. Firstly, we are focusing our strategy and investments in the core parts of our business where the strength and quality of our technology is delivering growth and strategic progress. We have taken the number of licenses in our B2B business to more than 150 for the first time. Also, Snaitech is going from strength to strength as the outperformance of the business and the rollout out of Playtech content has delivered market share; again, making Snai the #1 brand in Italy when combining retail and online sports betting. Complementing the core business is our Asian operations which remain highly cash generative and I have overseen additional actions in H1 to protect our premium brand there. I will also update you on progress at TradeTech, which performed well in Q2 as well as in July and August. Looking at the second thing, I will reveal how the latest progress with our technology has delivered a simpler, more agile route to market. This has increased the distribution of our product to capture the entire B2B value chain. As presented at the time of the full-year results, we identified the previously untapped market for Playtech. The unaddressed portion of the market will now deliver additional revenue streams and has extended our reach beyond the scope of Tier 1 licensees, joint venture partners, and local heroes. This is the bottom why and why this part of the diagram illustrating more than 1,000 operating brands that currently feature no Playtech products or services. This market is made up of operators for different sizes, including big and small sized operators in unregulated and soon to be regulated market. Throughout 2017 and 2018, we have broken down the IMS capabilities into a set of services that are easily identifiable with well-defined integration. Historically, Playtech has operated a one-size-fits-all approach. This is still the correct approach in newly regulated markets given the scale of some multiproducts and multichannel licenses, such as Tier 1s and local heroes. This approach is giving us our current position as the leading provider of products and services across the industries. Playtech's IMS platform is the result of 20-years of unparalleled key innovation and development. This latest launch of our software is the next stage of the development and will deliver a more agile distribution of our technology, ultimately, making the data-driven capabilities in IMS more modules and allowing more operators to access the capabilities they need. This represents a significant barrier to entry for any other B2B or current B2C operators trying to replicate our services-driven technology proposition. By using the latest API integration technology, this modular approach that uses the integration time from a three to six months to a potential of three to six weeks with a fraction of the cost involved with the integration and ongoing cost, making this a more attractive commercial opportunity for licensees and Playtech alike, and a higher margin opportunity for Playtech. Not only is this already attracting previously inaccessible licensees to our software and services, but it will also change the way we interact with our customers. Don't be mistaken. We are not changing or replacing our models but extending our reach. Some large-scale licensees will always require an integration that involves dedicated server infrastructure and the entire IMS. However, by delivering a more agile solution, we are now able to extend our reach to licensees that have been operating for 10 to 20 years and in a quicker and cheaper way. This will also increase our cross-sell capabilities with all and across all of our licensees. By evolving our technology, we have successfully extended our offering to deliver a technology solution for every possible licensee in every possible market. This has delivered the further diversification of our client base beyond Q1 and local heroes. In H1, this strategy has successfully delivered more than 10 brands in H1 in attractive markets such as Sweden and Colombia and across other regulated and regulating markets. Each opportunity is negotiated on its own commercial merits and in order to access the best and broadest selection of Playtech products, prominence and dedicated tables are still a highly important part of the model and commercial agreements. I'm happy to say that we are excited about the results and look to extend our reach to new customers and accelerate the process in the coming 24 months in a phased development plan, which will see us increase the number of licensees we have every six months to ensure we maximize the opportunity. Now taking a step back, we can see on Slide 31 the breadth of the new business we delivered in H1. We can see though the scale of our offering as one of our real strengths. And for the first time, our B2B gambling business now has more than 150 licenses. Our distribution capabilities and the quality of our software continues to attract the leading brands and operators to partner with Playtech. In H1, we delivered new agreements in all segments of our offering including securing a new structured agreement in Latin America which will be announced in the coming weeks following certain required approvals. This was alongside an expanded agreement with the Dutch monopoly operator, and we launched a partnership with the Ontario lottery in Canada to provide safer gambling solution. We also successfully migrated one of our – of the leading casino groups in Portugal away from a competitor, and we launched and secured long-term partnerships in Spain with RETAbet and Swiss casino in Switzerland. We are particularly delighted to present to you today the work we have done in H1 with GVC. For me, the new deal further illustrates that power and attraction of our technology, and it is a standout deal for two reasons. Firstly, the extension of our dedicated casino environment for GVC's Ladbrokes and Coral brands underlying the quality of our dedicated casino environment which has become the gold standard for casino in highly competitive, regulated markets. Secondly, and no less importantly, the partnership includes the launch of our casino and Live Casino in highly attractive key markets across the globe. In H1 alone, we have launched in Spain, Greece, Belgium, Georgia and Brazil. And in the second half launches, we'll continue in Italy, Denmark, Sweden and other territories. I'm very, very happy to say that we enjoy a fantastic relationship with our partners at GVC. The potential revenue opportunity for Playtech across all GVC's portfolio is greater than the previous Ladbrokes Coral concept. We are already seeing the benefit and we are only halfway through the project. My third thing to present today is our diversified exposure to highly attractive, fast-growing market which I believe not only differentiates Playtech from other listed gambling companies but also will drive our structural growth over the medium term. Over the last few years, I have consistently outlined the importance of many of these markets to our future growth prospects. Behind U.K. and Sweden, we can see a pipeline of potentially large regulated markets which have significantly low levels of online penetration and which will be providing the growth of the industry for years to come. Through new business with existing licensees and through new licensee relationships, we have established a pipeline in these markets which underpins my confidence in our long-term success. Looking at the markets listed on the slide, Playtech has market access deals in place with partners in 16 of the 18 markets listed. In some Latin American markets, we are actively monitoring developments as licenses become available. And in the U.S., the next steps for us is to continue our flexible approach and actively pursue multiple commercial opportunities at once. In regard to New Jersey, we have completed the extensive testing period with the regulator and now look to finalize commercial opportunities in that market. In addition to the New Jersey license, we have started the application process in Mississippi. Moreover, we have established an office in New York, which is the culmination of our work on the ground over the past 12 months. One of the biggest strengths of our technology model is that we have multiple routes to market. As a B2B partner, we can operate a low-investment, low-risk approach as we only operate B2C brands in selected limited markets. Given the distribution capabilities and scale of our technology solution, the Playtech business model can offer a scale of services and software solutions to any customer and in any market. Whether the market develops as a multiproduct license market with numerous operators or whether a market introduces a single license with the state-backed operator, allowing Playtech to capture growth opportunities in markets other B2B or B2C companies would not be able to; or in the case of Switzerland, be forced to exit form with the changing regulation. Our final theme today is the strong performance of our B2C segment. This has been driven by the quality of the Snaitech business which we are very proud to report, continues to perform ahead of our expectations. On the previous slide, we saw that Italy is a growth market with significant potential given its current low level of online penetration and are expecting to be a significant growth driver for this business for years to come. During the period, Snaitech achieved the top position for market share in Italy in June and July when combining retail and online. We believe that in a fully regulated market such as Italy this is a true testament to the strength of the Snai brand and its future potential. The first half of the year saw a continued rollout of Playtech's Videobet retail offering across the Snai state. As previously outlined, this will be alongside third-party solutions which are commercially attractive for us. Also, in the first half, we continue to increase the penetration of Playtech content into Snai's online offerings. Together, these factors combined with Snai's unique position and marketing efforts in a highly attractive market meant that the Snaitech team was able to deliver outstanding growth numbers. The 36% growth in online stake helped to drive a 26% growth in underlying EBITDA on a like-for-like basis when stripping out the impact of the new tax regime and the World Cup in 2018. This drove the underlying EBITDA margin to be 45% for the group. We are very proud to present these numbers today and see a lot of reasons for optimism in our ability to execute on the significant opportunity in front of us in Italy. The combination of Playtech's initiative, the quality of the Snai business and management team, and the market dynamics in Italy, mean we see this segment being a significant driver of the growth for our business alongside our core B2B Gambling offering. Given the relative immaturity of the online market in Italy, we believe it offers structural growth opportunities not available in the U.K., and so will outperform over the medium term. Turning to Slide 35. I want to give a detailed update on Asia. Given it's important to group cash flow and profitability, I've personally spent a lot of time in Asia over the last six months and showing we strategically do the right thing for the business there. Having worked with closely with the team, I have great confidence in our team in the region with overseeing the successful execution of the initiatives outlined at the full-year results. To summarize, in H1, we launched two new brands in Asia introduced a new level of promotional tool such as Golden Chip and Free Spin mechanics and extended the distribution of our life product in Asia which is proving popular. Having said all that, the market remains highly competitive and we recognize that we need to take further steps due to the changes in the market dynamics. The actions outlined the board have protected Playtech's position as one of only a few premium content providers. However, operators are focused on cheaper premium content. This has led us recently to introduce a new commercial model that provides more competitive pricing with higher volumes of traffic, incentivizing operators to attract traffic to Playtech for that rather than others. The new model is being introduced as we speak following the time that he and I spent in Asia and we will continue to monitor it closely. Now, moving to a short update on our financial division at Playtech, as has been reported by other participants across the industry, these are started with record low market volatility especially during the first quarter. Assets during the previous period have traded in very tight ranges with euro-dollar trading at its narrowest quarterly range on record and market volatility being well below historical averages. These negative market conditions together with ESMA's product intervention measures introduced in August 2018 have naturally impacted the performance of our key metrics as Andy discussed earlier. As we also described during the full-year presentation, ESMA's product intervention measure has negatively impacted volumes on both our B2C business and our full turnkey B2B offering from on August 2018 and onwards. With that being said, H1 2019 has seen an increase of over 40% in B2C volume compared to that reported in H2 2018 and a 5% increase of total volume in our B2B offering. Despite the difficult market conditions, our B2C business has reported growth in both FD's and active customers, compared to both H1 2018 and H2 2018, reaching total active customers of 21,600 during the period, representing continued growth in the fundamentals of the business during the period. During June 2019, we have launched our newly-developed platform MarketsX which, as we have presented during our Capital Markets Day and following the results announcements is tailored to service the most sophisticated segment of customers. MarketsX has currently been launched in two countries, Germany and the U.K. and further jurisdictions are planned ahead. The launch of the new platform is part of a new strategic direction in our entire marketing and business approach to our B2C offering. And while it is still very early days, we see positive signs already to gaining higher valued customer and we already see an uplift in the average first deposit size across the B2C business. It is important to indicate that changing the strategy will naturally impact future KPI as we move to onboard a smaller number of customers but with a higher value. We believe this is an essential change to our business as the regulatory in competitive environment has evolved over the years and as we further develop our product offerings. We see strong momentum in the liquidity execution and risk management offerings that resulted in an increase in volume of over 5% to €892 billion compared to €847 billion in 2018. This is supported by a significant pipeline of new customer to this segment of our B2B business, establishing strong foundations for the future growth of our B2B activity. Finally, I wanted to share with you some of the near-term deliverables that myself and the rest of the management team are focused on. First, we will continue the momentum with our B2B offerings by adding a total of over 20 brands in 2019, including an additional structured agreement. Second, we will structure agreements. Second, we will continue to extend our reach with GVC with further brands and countries. Third, we will continue to grow our Snaitech business. We will be reviewing and scrutinizing our noncore and underperforming businesses. Fifth, we will be increasing our quarterly disclosure starting in Q3. We will execute the share buyback program that we announced today. And finally, I'm pleased to announce that this year's Investor Day we'll be having our new offices in London and that the event will be focused on our core B2B business, and we will also give you an update on our U.S. strategy. Now before I say with all that we will now take questions and thank you, everyone; on a personal level, going off this tier, on a personal level, Fabio, the CEO of Snai, celebrated his 50th birthday yesterday. Unfortunately, he's not with us. And I want – firstly, I know that this goes on record, so don't cut it when you upload it to the site. He needs to see that. But first I want to thank Fabio for his contribution to the group and the hard work and dedication and the heart and effort him and his team put into the business. But on a personal level I want to say that – obviously, I know Fabio from many years and I always thought of him as an amazing person, but only when we started working together I realized how amazing he is, and how much I love him, and how much we like working together. So from here I want to extend my best wishes for his 50th birthday. All the best, health, wealth and happiness, only good things, and say you are now my family, my brother. Thank you very much, Fabio. And I look forward to seeing you soon. Thank you very much. And with that we will take some questions now.
Alan Jackson: [Hitachi] microphones next to you. So whoever want - do you want to go first, Ed?
Q – Unidentified Analyst: My first question is on a bit of your noncore business, if that's okay, on Asia. Thanks very much for the update there. I guess there are - it seems that there are sort of three different elements going there. The competitive element you sort of touched on, there's also then the markets down. There's also been quite a lot of news around some of the regulatory side, diplomatic et cetera. So on the side you're in control of, how positive are you that the initiatives you're introducing could maybe drive growth from the current run rate? And on the side you're not in control of, how worried are you about those other aspects? And sort of slightly second part maybe for Andy, I'm not sure. I'm surprised, given the drop in revenue, why the customer concentrations haven't changed? So any color on that would be useful as well.
Andy Smith: I'll do the second one first, just so that Mor can think about his answer. I think as we've discussed at previous results; don't forget the customer concentrations as customers move up and down, the percentage don't change that much. And also, we always broke out Moorgate any way. So Moorgate was never just one, it was always individual constituent.
Mor Weizer: So in Asia, let me give you the background. And I think that it is important to clarify that. And I will start with August last year, obviously, when we saw a structural change to the market. As we indicated in the final results, we saw stability since then and this was the case between August and the beginning of the year. In the first four months of the year, we saw actually the numbers picking up quite significantly. But this is not unusual or surprising given the fact that it's the Chinese New Year period, and a lot of promotions go into the products. Only sometime later, April, beginning of May, we saw that the numbers drifting back because the promotion obviously provide – I mean, attract a lot of customers, and those are monetized throughout the following couple of months or few months. And only sometime later, the number started drifting back, first, to a more normalized level, but when it drifted farther and the message we send here is all based on run rates, it drifted below the level we saw between August and the beginning of last year, or the beginning of this year. I mean, August last year to the beginning of this year. When obviously we further analyzed and we worked closely in the last six months, it started six months ago. We had some conversations. We wanted the Playtech to be promoted throughout the Chinese New Year, but it followed with some conversation when we saw the numbers drifting back. And once we analyzed that, we came to realize that actually the market is changing, and the markets dynamics are changing. Some parts of the market are not growing as much as before, which means that it becomes more competitive, and it does become a matter of market share rather than growing the business, or growing the business through market share rather than enjoying the organic growth of the market. And given the nature of the market, that is by nature driven by pricing, we came to realize that given the market change and the nature of the people in the market, it is now more driven by pricing. And we came to realize that we need to make a change that – actually, all the initiatives that we had before that kept Playtech as a premium product, are not enough. And, we, for a short period of time, discussed with our distributors and with the operators the best route to market and the best way to address that. And recently, we concluded a process as part of which we came up with a new pricing model that incentivizes the operators to grow the business or attract more traffic or divert more traffic from other premium content providers. Let's be honest, the other content providers are basically one, Microgaming. It does a very good there, but it is cheaper. I will be very open and upfront about it and say they are cheaper. And obviously we needed to give incentives for our operators to grow the business, so they will also send traffic not only to Microgaming but to Playtech as well. And I believe that this is a necessary step. We structured it in, I hope, we believe, a sophisticated way, enough to allow us to stabilize first and potentially grow it. And I don't want to get ahead of myself. I want to see stability. I want to send a message of stability and then talk about growth. But I can tell you that we did something that we never did before. Playtech remains a premium product. This is across the market. Some operators told us, you are the best in the world. And we know that we have – the one of only few very-very good products and very popular products. The popularity of Playtech remains as is, but we are by far more expensive today or were more expensive, and people actually diverted the traffic elsewhere. So I believe that the new model will be – I have all confidence that the new model will lead to stability. And like I said, I don't want to get ahead of myself. First, let's see stability, then talk about growth. As for the second part of the question, obviously, there were some comments made throughout the region. We saw some of the actions or some actions taken by the governments, both in the Philippines and Cambodia. And on that, I will say it - only the [indiscernible] let me just start with the comment. The comment – there was a comment made by the Chinese Ambassador to the Philippines. The government response was that no formal complaint was filed. Soon after that, they said that it will be discussed at a later stage. And sometime earlier this week or last week – end of last week, we saw the Philippine government basically sending a message that no new application or that new application are suspended. It was followed by the Cambodian government issuing a similar statement that new applications will be suspended. And on that, I will say, we obviously monitor the regulatory environment on a continuous basis, day-in, day-out. We have conversation. I just actually had an update from our guy that the status quo remained for the time being. And I think that it is important to say that there are only a number – a limited number. There are 100s of operators across the region and there are only a very limited number or 58 licenses available that are currently - operators that are currently licensed – operators and B2B companies that are licensed by PAGCOR, the Philippine regulator. We are one of those. All of the operators we operate with, hold a POGCOR license. So currently, it does not affect our business. Beyond that obviously, I can't refer to something that cannot be foreseen at this point in time; but we do, however, monitor the – we monitor the developments on a continuous basis. I will say, however, that a lot of our competitors - just last comment, a lot of our competitors operate from outside of the Philippines and all of our customers already hold a license outside of the Philippines as well. So, if they take further actions, they already seek alternatives. They have contingency plans. We are – not that we have any appetite to move away from the Philippines, I think that it is an amazing jurisdiction to operate from. We have been established since – in the Philippines since the early 2000s. From – I mean, 2003 and 2004, when we first established ourselves. And maybe last-last comment. I will say that only in July, not so long ago, I mean, a month and a bit – less than a month and a half ago, the first gaming conference took place in the Philippines. Usually, there is a conference, big G2E conference in Macau. For the first time, the government decided that it's the right time to do a conference in the Philippines. It was a very big conference. It was sponsored by the largest and best, endorsed by the government. The CEO of the PAGCOR was there, talking about the commitment, the importance of online gaming, and the POGO licenses. And therefore, currently, we have a lot of mixed messages. I think that it's better to wait and see. How worried I am? Obviously, any regulatory change is something to attend and address or be prepared for. But I wouldn't say that it worries me too much at this point. It was long, I apologize. But I know that Asia is a major theme, and I wanted to give a comprehensive answer.
Q – Unidentified Analyst: And the second one on Snai, which, as you said, has obviously performed very well, particularly on the cost side. Could you give a little bit of color on that? Is that - your synergies are outperforming. It was quite a small number when you announced the deal. Is it - you're getting more from that, is it your mitigation for the tax changes are above expectation or more H1 weightier than before, or it was other cost cutting? How do you understand the shape of cost there?
Andy Smith: No, the synergy targets are on track. But, no, they – [indiscernible] €7 million at this point. And we're slightly lower than that because we [add] just that number for tax, so they're bang in line. And towards the mitigation, actually, that was very slightly lower than the half as well than we would have hoped. Because one of the largest providers of machines was slow in changing its motherboards. We're now on track with that. But the low number - it was very low in the half. So, actually, it was real cost control shall we say.
Q – Unidentified Analyst: And then the final one is on the 1,000 sites opportunity. And you've talked about the number of new licenses which you started to disclose again. Could you just talk a little bit - and you mentioned the structural changes there in terms of the components of the IMS. Is there anything else in the other side of the business that you think needs to adopt or change to address that opportunity? I noticed you bought another small game studio. You've got this new product, Kingdom, the new game in the second half. Is that connected to that or is that sort of Age of the God's new version? How do you see the product side of all of it?
Mor Weizer: Yes. Before I answer that, just go back to the Snai. Obviously, it was driven by the core fundamentals of the business. Well, I do want to reflect on one thing. When I had a call yesterday to congratulate Fabio, then he said - he just added: "Listen, be strong tomorrow. We will deliver. We are the best and we will be number one over time. We will become number one in online." So, we have full confidence in the team. Obviously, it's not just mitigation, not just cost, the business is growing from strength to strength. Online sales grow, retail sales grow. It's a fantastic business. Well, I just wanted to reiterate the message that I have yesterday from Fabio. On the 1,000 sites, actually, we present today something we hinted to in the final results. It is part of our refocus on the core B2B and core B2C, meaning Snaitech. But mainly, the 1,000 referred to the first, meaning the core B2B. It is a fundamental change that follow the change in the market. More people want flexibility. We wanted to extend our reach. We realized that the ongoing cost, as well as the integration cost, not least the resources involved and the time it takes are extremely important these days as markets become regulated and more competitive. And actually this is the end result of two years' work. We have been doing that quietly without anyone knowing, without talking about that, which is quite unusual for me, but we kept it quite quiet, and we actually we already signed up and launched in the final result, but we wanted to proof-test it and to ensure that we feel that it's – we are ready to actually start onboarding a lot of customers in the coming quarters. We are ready. Nothing needs to be changed. No further investment. The new studio we bought, the new game suites – the new suite of games that we developed are a part of an ongoing effort to launch new games, exciting games, Kingdoms Rise is a very-very sophisticated suite of games that follows our Age of the Gods' suite of games that our – some operators refer to as almost the standard of the industry today. But it's separated from the focus we put, breaking down the IMS. On that, I will say no further development is required, and we are ready to onboard. The intention is to grow the number of customers we launch a month every six months. I don't want to get into the number because I don't want people to start clicking on the stopwatch and start asking us. So, you said that 12. Now it's 13. Why you don't increase fees and why it's only 10 and not 12. In average, the number will grow every six months. We have the goal for the next two years, as I indicated. The only change to our business going forward that will be required is obviously to extend the reach internally or to strengthen the teams internally that are already been in place, the accounts management team, the tech support team, the sales team, as we started growing. It's mainly the tech support and the account management function to support the increased number of customers. But this is obviously a very-very limited almost non-existent cost to us and it will only grow as we grow the number of brands we onboard. We're committed to 20 brands this year on top of the other licensees like Swiss Casino and like RETAbet and the Dutch monopoly and many others. It's on top of the work we do with GVC, extending the reach with them and many other customers. And it includes the 20, only this segment to 1,000 sites. We start small. We don't want to get ahead of ourselves. We don't want to start bombarding the market with numbers. It will grow over time. But definitely, we see that is a very important step by Playtech that gives us access to an unaddressed untapped part of the market so far, but one that also allowed us to streamline and to integrate in a quicker and shifter way with other customers. So for example, some of our local heroes were using the same technology. So you have to divide the technology cater of the entire business, but the one 1,000 brands is a very specific opportunity for us that we intend to capitalize on. One last comment to that which I think is extremely important. There are two very, very important elements to this offering. It's not just breaking down the IMS. It is a regulated centralized private cloud that we invested into, no follow investment is required. It's already set up, can cater for 100s of brands, if necessary, with the fraction of the cost before. And on top of the centralized regulated private cloud, we have the IMS broken down into a set of services with most of these services having a direct API that allow customers to integrate with the IMS and work with us. This means that not only we reduce the time it takes and the cost it takes to integrate in the ongoing cost, but it does that without changing the model of Playtech and without taking away the benefits of the IMS. And that's the important part. When you combine the centralized private cloud, together with a set of services, this is what differentiates Playtech. So far we couldn't do that because we cater for a market that requires a dedicated infrastructure in the entire IMS. Now we want to extend the reach smaller, to midsized operators. We use the technology and 1,000 brands alongside that that we'll be able to enjoy the benefits of the Playtech solution and the very popular Playtech game.
Ted Nyhan: Ted Nyhan, JPMorgan. Three questions from me, if I can. Firstly, what is the potential revenue, annualized revenue contribution from the new brands when they fully ramp up?
Andy Smith: When you say new brands, you mean it's - 
Ted Nyhan: 1,000 brand. Oh, sorry, the 10 you signed for this year.
Andy Smith: I don't give that number. It's – I mean obviously the brands is 1,000 possible in total. You can imagine that each one of this is relative smaller on its own. So we're talking sort of single-digit million. But obviously as that ramps up over time, that number gets bigger and bigger.
Ted Nyhan: Is that single digit per brand or?
Andy Smith: No.
Ted Nyhan: And in terms of TradeTech assuming a normal year from now as far as you can think of a normal year, what would be the current EBITDA range just in a sense of what we should expect for the full year?
Andy Smith: I mean I don't know if there's any such thing as normal in the business like that because obviously it's so hard on the market. I think at start for the year we've had around €40 million of EBITDA in there, so let's just call it €20 million each half. If you look back at last year, it did €25 million a very strong H1, and a much lower number in H2. This number looks likely it will be the reverse. So, I think if you're looking, all things being equal, if you tend to look at about €20.5 million, that's not a bad starting point. But just to be absolutely clear, it's highly-highly dependent to market volatility.
Ted Nyhan: And obviously your online growth at Snaitech was very strong this year. Give us a sense insight of what the market online growth was in Italy in H1?
Andy Smith: I don't have that stats and I could follow-up with you. I would assume that we're outperforming the market.
Mor Weizer: We definitely outperformed the number. I can't remember the number. I know that we outperformed, because I have a few numbers in my head and I don't want to just throw a number.
Ted Nyhan: And so far as you're outperforming the market, do you think that's sustainable or is it just the kind of one-off impact from enhancing the online proposition being in Playtech?
Andy Smith: I think it's sustainable. I think if you look at two things. One, what Playtech bring to Snai, in terms of the expertise, which is one of the really - which is we did the deal in the first place. So that is always going to give us great confidence in that. And second, the advertising ban, which is too early to say much about at the moment since it's the impact. But I think given the fact that we have retail presence and retail brand, it should boost our online as well. So those two things should give us confidence.
Alan Jackson: Simon?
Simon Davies: Simon Davies from Deutsche. Three from me, please. Can I kick off to some – the B2B business? Obviously, a very strong margin performance there. Can you trump with the – put a number on the amount of fixed cost that has come out of that business over the last year sort of getting a feel for where margins should go?
Andy Smith: I mean, last year we gave the number of €20 million. I'd prefer not to give an absolute number, so that you can calculate it that way, Simon. Because the number you get – we're taking out fixed cost all the time, but then we reinvest in those numbers, which is why I prefer far to more to focus on a margin number than I do on a cost number. Because I don't it's the right way to look at it. So I think if you look two years ago, that margin for the B2B ex-Asia was less than 20%. It was more like 15%. And now we're talking about a number this 30% pre-IFRS 16 over and 35% including IFRS16. You can see the stats were taken. But if you look back at the full year 2018 results, you can see the kind of numbers we gave then. Let's be clear. I don't want to give the absolute fixed number because of the reinvestments.
Simon Davies: And the second just on the dividend. Obviously, a big cut there, partially offset by distribution through share buybacks. Can you give some guidance on where you think dividend payout goes long term? And how much flexibility should we expect in terms of how the on-cash return?
Andy Smith: I think you were on garden leave actually when we had the full year results because actually it's not a cut then. It is exactly the same policies we had at the full year results. So what we said was we're rebalancing the shareholder distribution so that the – when you said partially mitigated actually the shareholder distribution in the interim that should increase by over 10%, because what we did is we half the dividend or we base the dividend, we then pay that back into the shareholder buyback and increase the number. So the shareholder buyback would have been €17 million, if it's just the same amount paid out to the dividend. We've added an extra €8 million of that to show the confidence in the business and also to reflect the [indiscernible] which gave us additional confidence.
Simon Davies: Should we think of the dividend being progressive from here on?
Andy Smith: I think, yes, you can do. I think we – we felt that to this moment in time holding the dividend flat versus last year on the rebase level, the half number. It was the right thing to do with the increase being put into the share buyback. Each time we come to announce the shareholder return, we'll always look for the best balance between the two. So, I think you should think of the overall distribution being progressive and the split between the dividend and the share buyback will depend on the circumstances each time. But I think all things being equal I would not expect the dividends to go down.
Simon Davies: And lastly, can you talk a bit about the performance of the Live business. Obviously, quite heavy investment there over the last few years. Do you think you're finally gaining market share in that market and roughly what proportion of casino revenues are now accounted for by Live?
Andy Smith: I mean, just on the actual proportion, we've always said it's going to be between 10% and 20%. Obviously, with what's happening in Asia as well where Live was – as you know, there was more Live in Malaysia, but actually as that numbers come down, the percentages come up as we see significant growth of Live outside of Asia, specifically in Europe.
Mor Weizer: Yes, beyond that, we actually only just started pushing Live. As you know we'll soft launch this and then decided to further develop or actually put more effort into the offering. And then only recently sometime in the second quarter of the year we started really pushing Live. I have all confidence that this will, as I said, and while it takes a little bit longer we're not magicians, it takes some time, time and effort, and additional time and effort in order to make it right but we believe that we are in the right place. And from here, I think that you will see very significant growth that will be driven both by the combination of both existing customers as well as new customers. We want the Polish monopoly tender. We won the Dutch monopoly tender, and we are extending our reach to other operator that operates with – that currently used some of our competitor's solution. Having said all that, in the first half of the year, we saw very, very significant increase in our Live casino offerings. Some of that is attributed to the fact that our existing customers push the Live offerings and some of their customers move from graphical engines to Live Casino which is actually a trend you see across the industry, but also a lot of growth coming on the back of more initiatives, joint initiatives with Playtech. And we are extremely satisfied with what we saw or what we see so far this year. Maybe last - one last comment on that. We reorganized the structure and team, and change - and made some changes to the team. And we believe that we are now in a very good position to start capitalizing on our investment. So definitely see that as one, if I think about the future in terms of vertical; sports, that grew significantly this – in one year, 27%. Casino and Live Casino will be the growth drivers of our business from a product perspective.
Gavin Kelleher: Gavin Kelleher from Goodbody. Just two from me, please. Just on B2C gaming outside of Snaitech and white label, obviously loss-making there in terms of the Austrian and German sports betting business and casual. You noted a strategic review on casual. Can you just give us a bit of color on that segment of B2C gaming? And would it be loss-making next year or how should we think about it over the medium term?
Andy Smith: And is your question specifically on Casuals, Gav?
Gavin Kelleher: Both parts, both loss making prior to B2C gaming.
Andy Smith: Okay. I'll give you the numbers and then Mor can give you some more color. So I think that for ex-Snai, there are four parts to B2C Gaming. Let's go through them in turn. So this is Sun Bingo and other white label. So Sun Bingo we said will be profitable. The other white label used to be much bigger parts. I mentioned in my speech, we've has keep an exercise. So that's actually a very low number in EBITDA. There is – it's actually zero anyway, give or take. In terms of the German business, we will continue to see further losses in H2 this year. But more we'll talk shortly about how that business is going to do going forward. To be absolutely clear, it is because of the start-stop nature of that business. The asset is still a very-very good one. But it uses the startup investment. Casualty is so different because that's a much more mature business. So obviously had – it's had a fantastic few years with Narcos, which although it is still a good game. It's – the life cycle of that game will – reduces. There's been investments into new games. But as you heard, there have been repeated success in Narcos. And so I think we need to look at that business because clearly we're not going to accept the position where that business continues to make losses.
Mor Weizer: Yes. So just a follow-up on that. Obviously, Casual at the – and we said we launched four games. It requires some investment. And before we make the final conclusion, which I believe will happen in the – later we feel we are monitoring it on a continuous basis to ensure we control the cost and the marketing investments made. The business is, as you probably know, is driven by a very limited number of games for casual gaming companies that drive the entire growth. Narcos was one for us and we are expecting to replicate that with the other games. We only just launched four games and there are some other in the pipeline. But it requires some attention given the fact that we were expecting to generate more revenues over a shorter period of time. So obviously, in our own view, it's underperforming currently and requires our attention hence the review of this business. As for the HPYBET, we call it, this is the brand you can go and look. Germany and Austria are obviously very big markets. Of course, Europe very evident by the numbers of some of the offshore online gaming companies that operate or Pan-European companies that operate in that presence in Germany. It's a market that from a legal perspective is dominated by one operator. It's a very – it's a multibillion dollar market and even more so when you include into that Austria, the market is dominated by one operator Tipico with only a number of other operating and were significant – and have a significant substance. We identify this as an opportunity. We have already access to almost 200 – just below 200 shops there between Germany and Austria. It's going from strength to strength. We only just started. The losses are very, very limited when you compare that to what the other companies do in other jurisdictions and compare it to the existing revenue opportunity. I think that this outweighs what some others do in other jurisdictions and we believe that over time, it will create a lot of value. The reason we like this business very big market, limited penetration in online in terms of the potential once regulated from a gaming perspective, if regulated because online sports betting is already regulated, very limited competition and given our core key expertise and capabilities in sports, just to put it into perspective, the business grows in volumes. We doubled – we more than doubled the stake year-on-year. And the last reason that we are very, very excited about this opportunity and – it's because it's a very similar model to Snai. So, it's a franchisee based. Yes, we own some shops, but a lot of the others are franchisee-based or operate under the franchisee-based model. And we believe that over time it will create a lot of value. I can tell you that we've already been engaged by some operators that are interested in the German market. They wanted in, but we believe that maybe now is not the right time. It's a very-very attractive markets to be in over time. And yet we obviously measure the performance on an ongoing basis, not to get ahead of ourselves and not to further – and to control the return on investment into the market.
Gavin Kelleher: Just one more from me. Just on New Jersey, you're going through testing at the moment. When do you get the kind of piece-of-paper approval if you like? When is that expected or when could we expect you to launch in New Jersey?
Mor Weizer: Yes. So, in New Jersey, you have to first apply. They need to deem the application complete, which they did in our case. The second phase – it's not divided into phases, but we refer to that as phases. But the next step is to test the games and the products, together with the one of the accredited testing facilities. I'm happy to say that we completed that. The only remaining step is actually to sign the long-form agreement with some of our customers and potential customers in order to launch. Theoretically, once we are ready to launch, there is nothing to prevent us from getting the transaction waiver, which is a two-year waiver. During which, they do continue to analyze the business. And this is not Playtech specific, obviously. This is the case across the New Jersey market, and everyone goes through that. So, like I said, application complete, testing completed successfully. We are now in the process of actually finalizing the final – the long-forms with some of our customers, and we'll be in a position to launch. Whether it will be later this year, beginning of next? It is actually dependent on the resources on the other side, not just entirely in our hands. We are very keen, obviously, to do that, to showcase that Playtech established itself. I think that our games will be very popular there. Our Live Casino will be very popular there. Obviously, the SSBT's will be very popular there. We only just started. We have the benefit of looking into – we have the benefit of obviously acting decisively when the time is right and actually enjoy a number of commercial opportunities at once. I think it is important - people put a lot of efforts into the U.S. But you look at the market, you look at the – you look at the presentation, one of the slides which I – even I was surprised by, is the low level of penetration of 18 other countries or 17 other countries that are currently either regulated or regulating; like, the Netherlands, like Colombia and others. And I think that people should not – I should remind people that actually our business is very diversified. U.S. will be a focus for us going forward. But obviously, other markets are extremely important for us. We kind of - we said it, but I don't think that it got the attention it was – it deserved. We just secured a long-term structured agreement in one of the neighboring countries to Mexico in Latin America, where we will have a structured agreement with one of the leading and largest sports betting companies in a similar fashion to Caliente. On Caliente, by the end of next year, it will be one of three largest customers. I believe, on a run rate basis, the largest customer, just to put it into perspective. And the opportunity in Colombia is not far behind. So, U.S. is great. Don't get me wrong. It will get a lot of focus, now that we sorted out B2B. We're expanding too with the 1,000 brands. B2C is going very well. Snaitech is doing a fantastic job. U.S., structured agreements, a lot of growth coming. And this is going to be our focus going forward.
Q – Unidentified Analyst: [indiscernible] Just one question for the time. Would you be able to give an estimate on the net gaming revenue opportunity with regard to those 1,000 new potential sites in comparison to the licensee based net gaming revenue that you currently have access to?
Andy Smith: We'd have to get to the question I answered earlier. I think for the ones we've signed already, it's a single digit million number. But obviously over time that gets bigger and bigger. Each one individually is lower than some of the other games we have in place. But the opportunity in terms of the number of customers is far, far higher. And actually, there's also scale benefits as you get more and more and more better there. Each one has a very significant drop through to EBITDA, very high margin because it comes with an existing cost base.
Alan Jackson: On more.
Emmanuel De Figueiredo: It's Emmanuel from LBV Asset Management. Just two quick questions. Mor, I mean, I noticed you were saying in Asia that you are not particularly worried about the regulatory issues there. But in a world where, as we know, trade tensions are growing everywhere; what do you think is the risk and what can you do if China one day decides to start blocking the IPs of the Philippines and Malaysia? And if related to that, would you be willing to disclose what you think is your Chinese portion of your Asian revenues? That's the first question. And my second question; I think for some time some shareholders, including ourselves, have been a bit critical of your cash remuneration versus your shareholding. Will that change or will remain a relatively small shareholder versus your remuneration?
Andy Smith: I'll do the percentage of China. China's percentage of Asia is around 90% level. Yes, it used to be - obviously the number in China used to be higher. It's an absolute number, but it used to have Asia - Malaysia in there as well. Malaysia is relatively small. So it's - now there's not much in Malaysia. And there, China is the vast majority and there's just a few other bits involved. But the vast majority is China.
Mor Weizer: And as for the regulations; obviously, any discussion with us this morning whether it's good news or bad news, because we hold the license and others don't. And I don't want to repeat about it, obviously. The reality of it, yes, we have a license. It is very clear that for the time being they will not suspend existing licenses. I think that people should not forget the fact that it generates hundreds of millions to the Philippine government through PAGCOR, that is designated for education and healthcare. So, obviously, all the money that goes from fees, which is in excess of $200 million a year, are reinvested by the government into national projects to do with education and healthcare. This business exists from many years. We have gone through ups and downs in the region before. And obviously, any change in regulation, if the Chinese wake up one morning and regulate and ban it, then it's a different story. I'm not sure that this is the case. I don't think that this will be the case. But we follow and monitor the developments coming out of Asia. Obviously, I would prefer that the Chinese would have endorsed it and said that they are fine with it as long as certain guidelines will be followed, which may be the end result because it was all driven. I'm not sure if you are familiar with the fact that the Chinese ambassador comment, followed a comment by a Philippine government official that commented on the number of Chinese expats in the Philippines becoming an issue. And their response to that was the Chinese ambassador answering that they are not happy with online gaming and the situation with the employees working, the expats, the Chinese expats. And they made a comment on money flowing out of China to do with the employees but obviously it went beyond that. So I would say, given the nature of the business, given the nature of the market, I think that it's here to stay. I think that it will – it may require changes. If worse comes to worse and the Philippine government changes its mind, operators will require to do certain changes. If the government in China will change its mind then obviously we will have to adapt to that as well. But I think that it is more likely than unlikely there will be changes, but it will be in order to create a more controlled environment by the Philippine government to do with the employees and the way people conduct their business from the Philippines. On the cash remuneration, you know that it has been outstanding. It's being discussed. I mean, following the final results, we had the AGM. Following the AGM, I was very much focused on Asia, before I came up with this new pricing model. I'll be very-very open and honest, you know me. What you see is what you get. I'm very straightforward. And I will say it; I had no conscience to go to shareholders and say, let's talk about options, let's talk about - it was not the right time to do that. We needed also to get the – it all happened towards – soon after the AGM when our close period started. So I would say this is something to look at, and I hope that in the near future it will be sorted. No doubt, we are familiar, we acknowledge it, and we hold conversations with shareholders with regards to that.
Andy Smith: I'll just add one point. It doesn't matter what holding it has, whether it's huge or not. You won't find somebody that runs a business with greater dedication, greater understanding and greater event horizons. I note that part of your question, and undoubtedly as we move forward to the year end, we'll have more to say on it.
Emmanuel De Figueiredo: I can understand that I've been following Playtech I think for more than 10 years. Mor has always been very passionate. But I've never understood why he hasn't been a bigger shareholder. But I agree with you.
Alan Jackson: Good. Thank you, all, very much.